Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Rogers Communications Third Quarter 2011 Results Conference Call. [Operator Instructions] I would like to remind everyone that this conference is being recorded today, Wednesday, October 26, 2011, at 8 a.m. Eastern Time. And I would now like to turn the conference over to Mr. Bruce Mann of the Rogers Communications management team. Please go ahead, sir.
Bruce M. Mann: Thanks very much, operator. Good morning, everyone. Thanks for investing some of your time this morning to join Rogers for our third quarter 2011 investment community teleconference. It's Bruce Mann here. Joining me this morning in Toronto are Nadir Mohamed, Rogers' President and Chief Executive Officer; Bill Linton, our Chief Financial Officer; Rob Bruce, who's the President of our Communications division; Keith Pelley, the President of our Rogers Media division; and Bob Berner, our Chief Technology Officer; and a couple of folks from their respective teams as well. So we released our third quarter 2011 results earlier this morning. The purpose of this call is to, as crisply as possible, provide you with a bit of additional background upfront and then answer as many of your questions as time permits. As today's remarks and discussion will undoubtedly touch on estimates and other forward-looking types of information from which our actual results could be very different, would you please review the cautionary language that's in today's earnings release and also in our 2010 Annual Report. And these include the various factors and assumptions and risks about how our actual results could differ, and all those cautions apply equally to our dialogue on today's teleconference. So if you don't have copies of our 3Q MD&A and financials or our 2010 Annual Report to accompany the call, they're both available on the Investor Relations section of rogers.com. With that, I'll turn it over to Nadir Mohamed and then Bill Linton for some brief introductory remarks and then the management team would be more than pleased to take your questions. Over to you, Nadir.
Nadir H. Mohamed: Thanks, Bruce. And welcome, everyone, and thank you for joining us. As you can see from this morning's earnings release, it was another balanced set of financial and subscriber results. The results clearly reflected strength of our asset mix as well as the continuation of what I believe is an extremely competitive market. We've continued to demonstrate success both on the sales and retention front, have maintained strong margins and generated both solid EPS growth and significant free cash flow. We delivered this despite the planned increase in our capital spend as we continue to invest in maintaining our leading network position. Importantly, we returned $634 million of cash to shareholders in the third quarter through a combination of dividends and buybacks. That's up 21% from the third quarter of last year and the second highest quarterly return to shareholders ever. Stepping back and looking at the quarter, the most notable of observations that I would point out are we delivered good customer growth with solid growth subscriber additions in both Wireless and Cable while continuing to maintain reasonable churn rates despite what's an intensely competitive environment in both of these business. In fact, this was our strongest quarter ever in terms of Wireless gross subscriber additions across our combined postpaid and prepaid categories. We continue to demonstrate very solid cost controls across the businesses, which helped us maintain respectable margins in each of our divisions. We continue to drive rapid growth in our Wireless data business, growing Wireless data ARPU by 24%. We did, however, see continued pressure on voice ARPU, resulting in postpaid ARPU coming down by 3%, but it is noteworthy that the slope of the decline improved for the first time in a number of quarters. And finally, we executed very strong in our Media business, delivering terrific growth both on the top and bottom line while at the same time investing smartly for continued growth going forward. So across Rogers, a solid performance as we continue to generate growth in a highly competitive environment. More specifically, on the Wireless side, we continue to execute strongly in our Wireless data strategy, selling the highest number ever of smartphones to new customers in a single quarter. We've also activated the second largest number of smartphones ever, those being a combination of new and upgrading subscribers, together totaling over 600,000. So we're seeing continuous very solid success in the high-value smartphone category. In fact, we passed a significant milestone during Q3, where we now have more than 50% of our postpaid subscriber base on smartphones. The smartphone metrics, ARPU churn and upgrade rates remain healthy, and at the same time, we're both attracting and retaining our highest lifetime value customers. Accordingly, the most significant driver of our top line growth was the continued strong growth in Wireless data revenue. In Q3, Wireless data revenues were up 28% and now represent 36% of Wireless network revenue. As you can see by the number of gross Wireless subscriber additions and can infer by the fact that fully 2/3 of both postpaid gross loads were on smartphones, that Wireless sales in the quarter were concentrated in the higher end of the market. And while churn did drift up modestly, we're seeing most of that occurring in the lower end of the market. As expected, the results also reflect the continued impact of increased Wireless competition, particularly on the voice side. While the strength of Wireless data offset much of this pressure, we saw an overall decline in blended ARPU. But as I mentioned a moment ago, the rate of the voice ARPU decline decelerated for the first time in some time. And as we continue to be sharply focused on managing the rate of this decline, the fact is that it's impossible given the competitive environment. At the same time, we're driving very meaningful cost efficiencies. And you can see this when you consider that despite adding 45% more new subscriber adds Q3 of this year versus last year and the continued ARPU pressures we saw, we were able to post a very strong 48% Wireless service margin. So clearly, very good continued traction on expense control. Frankly, good expense control on the Cable side as well. Cable ops margins were down a bit on a couple of items, which Bill will address in a moment, but this reflects primarily the fact that we were more aggressive on the marketing front to capitalize on the seasonally strong Q3 and the over-the-year analog-to-digital migration. Importantly, we've executed successfully, adding 19% more total Cable service units that we did in Q3 of last year. An important factor to note on the Cable Operations side is that we are now very close to completing the phase divestiture of the circuit-switched telephony business, which we began late last year. And excluding this, the organic year-over-year revenue growth would have been higher, and Bill will provide a bit more color on this in a moment. Also, some new product and feature launches at Cable this quarter. These include the next-gen Smart Home Monitoring service, which is another first in Canada for Rogers and a terrific leap forward in terms of realtime monitoring and importantly, the ability to remotely control and view all aspects of a home and receive realtime alerts. We also brought the Rogers Remote TV Manager to market this quarter. This is a new feature for Rogers Cable customers that offers the freedom and flexibility to search programming and manage PVR recordings any time, any place, using our web portal or smartphone app. And you can expect to see more of these types of innovative features and offerings over the coming quarters. And at Rogers Business Solutions division, we made good progress in terms of growing margin and profitability. We continued to cull large portions of the legacy service business while growing on-net and IP-based solutions. Now turning to Rogers Media, a strong quarter for us at both the top and bottom line, with good momentum continuing on several fronts. This is almost all organic growth, and they reflect growth pretty much across the portfolio with particularly strong results at Sportsnet and our Television properties in general. Combined with good cost controls across the Media group in Q3, we drove margins up to levels we haven't seen in a number of years. At the same time, we continue to invest in initiatives at Media that will drive that momentum further, with ongoing investment in premium content. This includes the launch of the new CityNews Channel, the launch of Canada's Got Talent, FX Canada, Sportsnet World TV channel and Sportsnet Magazine, and I can assure you even more to follow. Turning now to the capital investment side. You can see that our overall CapEx is up year-over-year. This is consistent with our guidance, reflecting principally a number of investments and the timing of spending within the year. Most of that increase was on the Wireless side, where we continue spending associated with the deployment of LTE, once again leading the industry in Canada on wireless networks. Not only did we launch the first ever commercial LTE network in Canada earlier this quarter, but by the end of the quarter, we had deployed the service broadly across major markets including Toronto, Vancouver, Montréal and Ottawa. Stepping back, I'll say that overall, we're tracking the plan for the year so far despite pretty turbulent market conditions, and that's attributed to the strength of our asset mix. There's no doubt that we have a robust product portfolio, great brand, unmatched distribution, leading networks and a solid financial position, along with a seasoned management team. Together, that's a pretty good platform for continued success. And in closing, I also wanted to speak briefly about the upcoming CFO transition that we announced earlier this morning. This was something that Bill and I planned for and is a transition that I fully expect will be seamless for the investment community. As we said in the release, Bill will retire from the CFO position at Rogers in the second quarter of 2012, after which he'll continue to help bring a number of important internal projects we have underway to completion. Tony Staffieri will join Rogers and take over as our new CFO in the second quarter. Tony will work together with Bill and I to effect this transition. We are fortunate to have attracted Tony to Rogers for this role, and I'm very confident that he'll add significant value given what is an excellent much culturally and an experience set that is, frankly, bang on in terms of where Rogers is going. I also want to take the opportunity to thank Bill for the terrific job he and his team have done over the past almost 6 years, during which he served as the Rogers CFO. Bill has a very successful history with Rogers and has helped create much value for the company and our shareholders. And on behalf of our management team and our board, we extend our thanks. No doubt that we'll have a chance to more fully celebrate Bill's many achievements and contributions at a later date. So with that, let me turn it over to the man himself and then we'll take some questions.
William W. Linton: Thank you, Nadir, and thanks for the kind remarks. I'm going to provide a little bit of additional color on the financial results and the metrics for the quarter. On the top line, our consolidated revenue growth was 1% for the quarter, which reflects revenue growth of 1% at Wireless, 4% at Cable Operations and 10% at Media. While the level of adjusted operating profit was consistent with Q3 of 2011, we have been able to hold overall margins at very healthy levels, reduce our share count, grow EPS and return increasing amounts of cash to our shareholders. In terms of some of the main drivers behind the results, you've seen an improvement in the year-over-year EBITDA trajectory at Wireless from the first half of the year, and we've done this in a phase of very solid subscriber gross adds and another record number of new smartphone additions. Very solid cost management and the growing Wireless data ARPU more than offset the incremental device subsidies from the much higher Wireless smartphone sales volumes and the pressure from the decline in voice ARPU. In terms of our postpaid Wireless results overall, the 1% increase in Wireless network revenue is relatively consistent sequentially from where we were in Q2 of this year. It continues to reflect double-digit softness on the voice ARPU line, consistent with the first parts of the year and with the level of competitive intensity we continue to see in the Canadian wireless market. On the prepaid side, we improved year-over-year on both the gross and net lines, reflecting a combination of continued additions under our chatr brand as well as continued activations of the iPad tablet. In terms of Wireless network margin, I think it's significant to note the continued strong 48% level in Q3. This despite the record number of smartphone additions, which Nadir mentioned, as well as the continued competitive pressure on voice ARPUs. If you adjust for an approximate $14 million onetime accrual in the third quarter of last year, Wireless adjusted operating profit would have increased by 1% versus the 1% decline we reported. So obviously, very solid OpEx controls and efficiency gains helping to offset the decline in voice ARPU. Turning to Cable Operations. The revenue growth rate reflects the impact of the circuit-switched telephony business, which is essentially at the tail end of divesting, which was dilutive to the rest of the Cable ops business not just in terms of margins but in terms of top line growth as well. Normalizing for the year-over-year decline due to the divestiture of that part of the business, top line growth at Cable Operations would have been over 5% or 170 basis points higher. The Cable ops margins were down modestly year-over-year, and this reflects a couple of things. First is the fact that we added 19% more Cable service units in the quarter versus Q3 last year, and you see a corresponding increase in the amount of variable marketing cost associated with that. And second, there were approximately $11 million of onetime accrual adjustments in the third quarter of last year, which if you exclude would cause EBITDA to actually increase by 3% versus the essentially unchanged level that we reported. The higher customer growth and accrual adjustments, frankly, somewhat masked what are excellent cost controls at Cable again this quarter. At Rogers Business Solutions, you see very strong operating profit growth and continued margin expansion. The results here reflect the successful confluence of a couple of things, with the first being the integration of the Atria and Blink acquisitions of last year and a significant culling of lower margin, legacy off-net business. Together, these drove the dropoff in revenue but also with a significant increase in operating profit and margins. At Media, a solid combination of double-digit top line growth with excellent margin expansion at the same time, with the operating leverage driving adjust operating profit up 38% year-over-year. Media top line growth of 10%, some modest slowing sequentially from Q2. But as we said in the release, this is partly a reflection of a slowdown in advertising market activity we've seen that's corresponded to the negative global economic news, which heated up over the last couple of months. Below the operating profit line, on a consolidated basis, there really wasn't a lot of unusual items to talk about in this year's quarter. You will note in the comps that Q3 last year had an $87 million charge that was associated with early repayment of borrowings which occurred coincident with a very large debt financing we did at that time. The increase in income tax expense basically tracks the increase in pretax earnings. And the bit of a step-up you see in depreciation and amortization reflects a combination of IT systems that we put into production earlier in the year as well as the depreciation and amortization associated with the Atria acquisition which closed in early 2011. On an adjusted basis, net income grew in line with the growth in EBITDA. But with the accretion from our share buyback activity over the past year, adjusted EPS was up a respectable 7%. You'll also note in the liquidity section of our MD&A that early in the third quarter, given the strength of the Canadian dollar, we put in place forward contracts on about USD $720 million of anticipated U.S. dollar-denominated OpEx and CapEx obligations to lock in what we believed was a favorable exchange rate. This forward contracts qualify as hedges for accounting purposes and run out for a period of about 36 months. We've obviously hedged the exchange rate on our U.S. dollar-denominated debt for many years, but this is the first time we've done so on a program basis for a portion of our U.S.-denominated operating expenditures, so we wanted to call this to your attention. From a cash perspective, during the third quarter, we generated over $490 million of after-tax free cash flow, up 4% year-over-year. On a per share basis, free cash flow was up 10%, again reflecting the accretion of our share buyback program. When you look at the free cash flow increase, you've got a couple of things going on. First, the timing and magnitude of CapEx being concentrated a bit in Q3 and then also, the timing of cash tax payments, which we expect to be more healthy, more heavily tilted to Q4. With this free cash flow, amongst the other things, we paid out $194 million in dividends, and we bought back 11.9 million shares for $440 million. So well north of $600 million of cash returned to shareholders in the quarter. It may be of interest to note that since we commenced our buyback program in 2008, we have bought back more than 100 million shares or more than 20% of the public float of Rogers Communications. I'll finish by saying on a consolidated basis, we put up an overall balanced quarter of subscriber and financial results in the face of what is an intensely competitive environment, and we're still tracking to our plan for the year. We continue to be in a very healthy position financially, with an exceptionally solid balance sheet, $2.3 billion of liquidity available under our fully committed multi-year bank facility and no near-term maturities. With that, I'll pass it back to Bruce and the operator, and we can take any questions you have.
Bruce M. Mann: Well, thank you very much Bill and Nadir. And then operator, we'll take questions from the participants in just a couple of seconds. But quickly, before we begin, we'd like to request, as we do on each of these quarterly calls, that those participants who are going to ask questions be courteous to the others on the call and limit the questions to one topic and one part so that as many people as possible have a chance to participate. And then as we always do, to the extent we have time, we'll circle back and take additional questions, where we'll definitely get them answered for you separately after the call. So with that, would you just please go ahead and explain to the people on the call how you want to organize the polling process, we'd be ready to start.
Operator: [Operator Instructions] Your first question today comes from the line of Vince Valentini of TD Securities.
Vince Valentini - TD Newcrest Capital Inc., Research Division: I want to talk about the competitive environment in Wireless and how you're responding to it. It seems, this quarter, like you stabilized the ARPU declines a little bit, but it may have come at the expense of letting churn on postpaid tick up a little bit, and your postpaid gross adds declined a little bit. So I guess looking forward, are you more interested in stabilizing the ARPU or getting the churn down and the sub adds back up? I guess you have to make a decision given the harsh environment which envelop you want to push on, so I'm just curious where your mindset is.
Robert Bruce: Yes, Vince, it's Rob. Listen, the real answer is we'll continue to do both. We're going to continue to be focused as we have been on ensuring the rate of decline of voice ARPU slows. And we talked about it slowing more dramatically as we get forward to the end of the year, and we expect to continue to see that as we drive forward. As well, we'll work hard to get our share of the net load every quarter and -- but I think there's an important caveat, and I think you could see them coming out this quarter. It's an interesting quarter, because it's characterized by kind of different timing than the past years on iPhone 4, which I think had a lot of people put their wireless purchases on hold. And at the same time, new entrance with $25 to $30 unlimited voice data, SMS and other things out there that I think, in a student-oriented quarter, become very, very sharp offers. The hallmark of the quarter for us was draped squarely on our strategy, focused on the highest value customers. Nadir talked about the 608,000 smartphones that we added this quarter, which we think is squarely in line with where our strategy takes us. And what he didn't mention is it was also our total highest gross adds quarter ever at 638,000 gross adds. Again, all the people who were indexed are high-value customers. Secondly, our focus was on a disciplined focus. There were many things that went on the market, including volleys back and forth by some of our competitors with free LD, free Canada-wide LD on flanker backed brand plans and as well as free iPhones. Those were things that we didn't respond to, because in the long run, we didn't believe that those were the right things to do for the business. So again, our focus will continue to be on winning our share of the market with a strong focus on high-value customers and continuing to work on accelerating that ARPU decline. So...
Operator: Your next question today comes from the line of Greg MacDonald at Macquarie Capital Markets.
Gregory W. MacDonald - Macquarie Research: Question. Just a quick clarification on Vince's question then I have a buyback question -- share buyback question. Rob, you mentioned student-oriented quarter. Makes me wonder whether you think that there's a greater impact for wins $29 plan in the 3Q than what you'd anticipate in the 4Q. Is that the case? Is that kind of what you're talking about? Or is -- do you think this is a longer-term impact as long as this plan remains in place? I'm talking churn. Is there a longer-term churn?
Robert Bruce: First and foremost -- in fairness, thank you. Greg, I didn't really talk about churn in my answer to Vince, and in fairness, Vince included some comments about churn. The churn was up, as you can see, about 15 basis points year-over-year. So some of that is seasonality. And as we go into Q3 and Q4, we always see a bump up. They're big acquisition quarters, and as people's contracts come due year-over-year, it would be typical that we would see some seasonality. Clearly, though, some of that uptick that we see is a consequence of a more competitive environment. And I don't think, frankly, that we should be surprised. And we are very focused and working very hard on churn, because we think it is one of the key focuses and one of the key levers in the business. The important thing to say, and again, back to our strategy, none of that churn was on smartphones. That was all on lower-value products and lower-value plans. Again, the health of our smartphone base is terrific. We've seen very stable for the past 3 or 4 quarters and churns that are sensational always, except one on an average basis, so healthy in terms of focus. Greg, was there another part to your question?
Gregory W. MacDonald - Macquarie Research: No, that's helpful. The question I really have is on the buyback going into 2012. I mean, it's pretty increasingly obvious that the spectrum auction is going to be in 2013, so that's not going to be a cash event until 2013. And I think investors would be helped to find out what your thought is on the buyback going into 2012. I don't want you to give guidance, but is it fair to say that buyback's still an important use of free cash going into 2012?
Nadir H. Mohamed: Greg, it's Nadir. Maybe I'll answer this. So obviously, the buyback dividends, these are the things that I work with with the board, and we are not about to give you any specific items. But I think it will be helpful to give you some framework for how we see these things. Starting with, obviously, what you've seen in the quarter and fairly consistent throughout the year and our expectations going forward is that this is a very strong cash flow business. You've seen our free cash flow performance, and you've got the guidance for that this year. I won't give you anything specific, but I can assure you we expect a strong free cash flow going forward. So that's the basis that we start with. I think if you go back at what we've done in the last few years, you get a sense of how we will approach these things going forward. If you recall, one of the first calls that I had when I'd taken over, we set out a leverage ratio that would frame some of our capital decisions, and it was 2.5x. So that, as you know, says that we are very much in the low end in that continuum. I think we've been hovering about 2. If you also layer in the fact that if you go back to last couple of years, we've been fairly consistent with respect to dividends, and last, growth of about 11%. My view has always been that we'd like to be seen as a company that delivers consistent dividend growth. We, by definition -- and I'll speak for myself rather than we as a board -- tends to be conservative. So we only want to touch dividends when we're growing them. So that frames our thinking, but you can tell that that's something that we'd like to continue. We've been very strong on buybacks in the last couple of years. I look at that as something every year, you determine what you have, starting with dividends and then the excess cash flow, and we tended to use share buybacks. By the way, it goes without saying, but none of this will ever be at the expense of doing the right thing for the business, be it network investments or M&A transactions. But I think it's fair to say that by that, I give you a picture of how we'll deal with things. To your point on spectrum, our best view today is that if the spectrum auction happens, say, later part of '12, in terms of cash flow, you'll really be seeing the granting of licenses in '13. So the cash flow impact will be in '13. The only other thing that I want to make everybody aware of, I think most of you are, is that our cash tax position changes next year when we start. Obviously, this year, we'll take advantage of all of the loss carried forward, so you will see us getting to be fully cash tax payable in '12. So that will add some impact, but hopefully, that gives you a framework for how to view these things.
Operator: Your next question today comes from the line of Peter MacDonald of GMP Securities.
Peter MacDonald - GMP Securities L.P., Research Division: Before I ask my question, just a clarification. So your comments, Nadir, on the buyback, the early stop of the buyback this quarter, we should assume that you're fully committed to completing the buyback for the remainder of the year?
Nadir H. Mohamed: Yes, I just want to make sure that if we did get back -- and I know -- I remember there was a question last call about buybacks, and I thought Bill was pretty firm that we're back in. And as you would have seen, remind me, Bill, the numbers, but we've got it in the release in terms of how much we wanted to -- 11.9 million shares. So pretty significant in the quarter.
Peter MacDonald - GMP Securities L.P., Research Division: Okay. Just maybe I can get a little bit more color on the Cable margins and the impact of the marketing increase in the quarter. So maybe can you just tell me what's the magnitude of the increases, what was the timing of the promotions and what we should be considering for promotional spending going forward with Bell's more aggressive rollout of IPTV?
Robert Bruce: Yes, it's Rob. Listen, the thing that I was worried about Cable over the past few years is this time of year is called Cable Christmas. And it's called Cable Christmas because it's the time of year when there's the greatest opportunity to get low. And quite simply, our spending in the quarter reflects the recognition of the combination of the reality of it being Cable Christmas and secondly, the fact that the change in terms of over-the-air channels was freeing up a pool of potential subscribers who are going to become available between now and the end of the year. Our expenditures were focused really to fully participate in that, and we were successful in doing that. And Nadir commented on the numbers, so I won't repeat them. And secondly, to get in there with that Internet in hand and really demonstrate the superiority of our product to all our customers out there and continue to stand tall in terms of the marketplace. The other thing that -- and I think it's important to say about the quarter is -- and it was reinforced by the work that we did on Internet, is to continue to produce the great churn numbers that we have. And we've seen declining churn over the past number of quarters across the portfolio of Cable PSUs. And our churn, even on our Television product, with more competition in the market, continues to be strong.
Operator: Your next question today comes from the line of Jeff Fan of Scotia Capital.
Jeffrey Fan - Scotia Capital Inc., Research Division: My question is more of a bigger picture question on smartphone and data revenue growth. You guys mentioned, obviously, a second-best quarter on smartphone activations. But when I look at your data ARPU and data revenue growth, it looks like both metrics slowed. So my question is are you guys at the level of smartphone adds that you think that's needed to help data revenue growth from slowing or whether there is another level of smartphone activations that's required, whether it's through upgrades or adds that would drive data revenue growth further? And maybe you can comment a little bit on the smartphone economics as well. Rob, you mentioned that none of the churn is coming from smartphone. But can you sort of confirm with us that the churn on smartphone, is it stable? Or is it actually declining? And maybe a little bit comment on the smartphone ARPU metrics as well.
Robert Bruce: Okay, that's a lot to squeeze into one question. I think there's a prize that -- a prize for that. Let me go back and spend a couple of seconds on smartphone. We're in a world now, today, Jeff, where we're against big numbers. So a year ago, we put up on data about $135 million of increase year-over-year on data growth. Again, this year, we put up a number right around $135 million, and it becomes a game of large numbers. When we take that $135 million and we divide it into those bigger numbers, we continue to see tiny declines as we go forward. I think our success in terms of tapping into the growth in the smartphone market is really illustrated by the numbers. And I think going after that market more aggressively, it's something that we'll do as it makes sense from an economic perspective. Again, to come back to your question, specifically on smartphone churn, overall, it's been flat. And we've seen it flat and healthy and no movement from a churn perspective and the same with ARPU. As I said back, earlier in the call, if you look back 3 or 4 quarters, we moved down from the early days. Back at 1.5 years or 2 ago, there was some drift downwards. That drift has been stable for about 4 quarters now, and we think the economics continue to be very healthy on smartphone. And of course, we're continuing to focus on improving those economics. Some of the things that we did with our handset upgrade program, allowing people because the smartphone audience is very sensitive to wanting to get the next new greatest device, which is challenging from an economic perspective. So we put the PRE HUB program in. The PRE HUB program allows customers to actually pay a little bit of money and contribute but get the upgraded phone sooner. We think that's contributing to the positive churn that we have and to satisfying customers, so a big win-win. And we continue to be very focused on trying to drive the handset subsidy down on smartphones, and we see a universe of androids coming at us that we think will help us realize that possibility. So overall, we continue to be very, very bullish on smartphone economics, both the churn, the ARPU and the prospects to take even more prospects in the equation going forward than that. We think it's a winning formula, and we're going to continue to go at it aggressively.
Operator: Your next question comes from the line of Glen Campbell of Merrill Lynch.
Glen Campbell - BofA Merrill Lynch, Research Division: A question for Rob on retention discounting. Last quarter, Rob, you talked about the importance of managing that tightly. And I'm wondering if in the new more competitive environment, does that mean essentially holding the line on the kinds of discounts that you need to offer to keep customers? Or have you still been able to -- be able to maybe rein those in a bit? And I was hoping you could give us maybe some indication of, directionally, how the changes are going. Are you seeing a lower rate of retention discounts or the same? Are you seeing a lower ARPU impact per discount, let's say? Or is that about the same?
Robert Bruce: Thanks for your question, Glen. From the numbers, I mean, I know you guys follow it closely, but in the quarter, our retention spending as a percent of network revenue dropped down to 10.1%, which if you look back over the previous couple of quarters -- the previous couple of quarters, it's been more in the 11%, 11.5% range. We've also continued to be focused on managing how aggressively we upgrade the base. And recently, I was combing through the AT&T and Verizon releases. They've typically been upgrading 9% of their base, more recently about 7%. We're upgrading about 6%of our base, and our focus is always that the work we do to retain customers is proportional to the ARPU of the customers. So a lot different in terms of the retention offers if you were a, $150 to $300 customer than if you were a $50 customer. And we continue to stick with that and feel that we're doing the right things for our economics overall.
Operator: Your next question comes from the line of Dvai Ghose of Canaccord Genuity.
Dvaipayan Ghose - Canaccord Genuity, Research Division: Rob, if I can just follow up with your comments. So are you saying that you are happy to keep retention at 10% of network revenue even though the impact on churn seems to have been fairly significant? And isn't there a risk that churn starts creeping up towards 2% if you don't jack it back up to 12%, 13%? And on a related point, can you tell us how many postpaid subs you gained from the Government of Canada contract this quarter?
Robert Bruce: Sure. Sure. Dvai, let me nail the first one and then go back a bit on the other part of the question. The number from a Government of Canada perspective -- and I'd like to highlight that the ARPU from these Government of Canada customers both remains stable and is tracking well ahead of our business case and that it's a 5-year deal. So we're in this for the long term. And the key about these Government of Canada subscribers is, frankly, it gives us the opportunity to get all the government's business. And what I can tell you is that we've had a lot of inquiries from a lot of different departments about a lot of things, including M2M and other exciting growth opportunities, that we think will continue to make the Government of Canada a very interesting place to do business. This quarter, we got about 18,000 postpaid gross adds and about 2,000 data-only adds, and that's by contrast to about 26,000 in Q2 as I think we said on the call. Dvai, the other part of your question is -- was about churn and how much we're willing to spend on churn. And I think it really comes back to not all churn is created equal, and we continue in the market to look at churn in terms of unit churn. And in fact, the way we think about it is we think about it in terms of revenue churn. So the focus is not always to lose endless sleep over the few points. The question is who are you losing, and are those the customers you want to lose. As I said, our focus was on retaining the highest value customers. We've had great success there. We're going to continue to focus there, and we'll let the amount of retention dollars float up and down to deliver against that strategy.
Operator: Your next question today comes from the line of Matthew Niknam from Goldman Sachs.
Matthew Niknam - Goldman Sachs Group Inc., Research Division: My question's a little more general on the macro environment. Then aside from the early ad market pressure you guys called out on the Media front, what's the latest you're seeing across consumer nano price indicators in Wireless and Cable? And how does this influence your approach to the business right now?
Nadir H. Mohamed: Matthew, it's Nadir. And maybe I'll get Keith, because this could be his opportunity to actually weigh in with a comment. But let me give you the macro, and Keith can speak to all the great work he's doing at Media, and maybe he'll try to comment on advertising. But I think, fair to say, Matthew if you go back to the recession we had in '08, '09, what was very clear for that period is that both the Wireless and Cable product portfolio are pretty resilient. We're now at a stage, frankly, where most of the consumers view us as products that are essential and no longer discretionary. At the depth of the recession, we did see somewhat a discretionary spend come down a little bit, but for the most part, the businesses of Wireless and Cable continue to perform frankly with amazing resilience. And so we haven't seen the impact of the concerns over the recessional economy with that in the U.S. or Europe factor in yet. Media, to be fair, is different in the sense that we are starting to see some changes in the advertising side. So let me let Keith speak to it.
Keith Pelley: Sure. Thanks, Nadir. I think fear and caution is the words that a lot of advertising -- advertisers are talking about with the harrowing recession. And it was really recent. So it's fresh in the minds, and the advertising lever is one of the first to be pulled. The difference between this and '09 is it is not carnage across the board, and that is a -- that's a positive sign. We've seen it externally in national sales, in our conventional business, and we're trying to weather those as much as we possibly can. But from a national radio sales or even from a local sales perspective, it is not the same. The last time that we saw this comment this, it was -- it literally was across the board, and everything stopped, and there was paranoia. We're not at that level right now. And so we're continuing to focus on our cost containment while at the same time building the business and continuing with the momentum. And it's the momentum from Media, in terms of the move, we're still in that growth mode as we continue to build assets that we'll not only build for Q4 and our strategic imperatives for Q4 but will lead us into 2012. So yes, we are seeing a little bit of the softness, certainly in the conventional side. But with such a diverse portfolio that we have, and we have a luxury to have that portfolio, we're in really good shape for the future.
Operator: Your next question comes from the line of Bob Bek of CIBC.
Robert Bek - CIBC World Markets Inc., Research Division: Just a bigger picture question on the Cable side, Nadir or Rob perhaps. We're obviously seeing a lot of pressure on the Cable model conceptually, U.S. and Canada. Obviously, your cables stats in the quarter were quite good. Anything within the numbers that would suggest any pressure on the model? I mean you had basic growth, but anything in there? And I guess related to that, can you talk a bit about the broadband usage within the space? Are you seeing much takeup to the higher speed plans and where you're seeing some of the usage perhaps moving to Internet from the core Cable model?
Robert Bruce: Overall, Bob, no real signs of significant challenge. We continue to kind of keep a sharp eye out for core shaving or core cutting, all of those kind of at a minimal level right now. And in terms of usage from an Internet perspective, Internet usage obviously continues to grow I think in the range of kind of 35% growth year-over-year. So strong, strong focus on Internet. We continue to believe that the 2Q winning connections with customers, the 2 Internet connections, the Wireless Internet connection and the Wireline Internet connections. So no significant challenges in the business model for Cable right now. And certainly, the things that we're doing both to differentiate ourselves and recognize some of the more subtle evolution in the consumption of video over Internet -- I should highlight that our Rogers On Demand line offering now as we moved up to almost 410,000 registered users. So we're expanding them all to accommodate the way customers are using the products, and we'll continue to do that aggressively going forward. Nadir?
Nadir H. Mohamed: Yes. Bob, just staying on a moment or 2 on it, because there's a lot of noise obviously about the issue of over-the-top, and I think it's a phenomena that, obviously, will become more important in our time. But don't forget, and I think you guys all notice, that it's actually all right on our pipes. And for me, I look at Cable as very much today as an Internet business, and I think it's a terrific business. We're seeing pretty good cash flow and good solid margins. The growth, I think, on the top line, you will see the -- some of the cannibalization happening with people moving over-the-top that will also offset -- to offset that with usage-based revenues. I also think that, frankly, in the Canadian market, the product portfolio is pretty robust, and there's pricing power in that in terms of the value that we bring to customers. So it's a pretty good business. And we don't talk about it as much as we do Wireless, because it's fairly solid and predictable. But just so you know, we view it as a very strong business.
Operator: Your next question comes from the line of Blair Abernethy of Stifel, Nicolaus.
Blair Abernethy - Stifel, Nicolaus & Co., Inc., Research Division: Just a question of following up on the Internet side. I wonder if you can give us a sense on your progression on high-grading the customer base. And in particular, what are you doing or how are you reacting to the increasing competition from Bell?
Robert Bruce: In the Internet space?
Blair Abernethy - Stifel, Nicolaus & Co., Inc., Research Division: Yes.
Robert Bruce: Blair?
Blair Abernethy - Stifel, Nicolaus & Co., Inc., Research Division: Yes.
Robert Bruce: I'm delighted to tell you that we have a superior Internet product. We're excited by that. We've been out in the market screaming it from the rooftops. And I think you'll have seen our extensive advertising campaign which points out pretty squarely the superiority of our Internet. Along with that and just sort of raised the intensity, we've moved both the caps and the speeds for a lot of our popular packages. And I could tell you that this is getting terrific traction, and it really resonates with customers. They really both believe and have embraced, in terms of their purchase behavior, the superiority of our Internet product. So -- and Nadir highlighted how core Internet was to the Cable portfolio and how Internet is critical, in general. And I think, squarely, we're the player in the Internet, and we're letting the market know that. And I think that's very good for the long-term health of the business.
Operator: Ladies and gentlemen, we have time for 2 final questions, your first of which comes from Philip Huang of UBS.
Phillip Huang - UBS Investment Bank, Research Division: My question is on the enterprise market for your Wireless business. I was wondering if you could give us an update on what you have seen in terms of competition from your HSPA competitors. And given -- I guess given your strong market share in the enterprise market, I was wondering what your current strategy is in maintaining it. And then I also wanted to ask about the other contributors to your Wireless ARPU, such as data roaming and machine-to-machine. Was wondering if you could comment on how you expect those factors will influence postpaid ARPU over the coming months.
Robert Bruce: Okay. So a couple of parts to that question, Philip. So in terms of the enterprise market, the one thing I should set straight is we're probably more the up and comer in the enterprise market, our incumbent competitors having long-standing leadership in those markets. We continue to be successful in those markets. We continue to take share from our competitors over time. We're obviously expanding our offerings to continue to bring things that are more interesting to our customers and to meet our -- the expanding needs of our customers. We see this market as getting more intensely competitive. And not surprisingly, as the consumer market gets more and more difficult, we see our incumbent competitors becoming even more and more aggressive in that enterprise market, no doubt causing a lot of reprice for them in some areas as we continue to be successful in that market. We're going to continue to be to focused there going forward, and probably, even more focused on the small and medium markets where there's higher ARPU, and we've had even greater success in the past. Let me come back to your other questions. You talked about some of the other factors, and you point specifically to M2M. I guess important that -- to note that M2M is a really exciting and a huge future opportunity. And we've been highly successful, and we've been the early mover in the M2M space. And we've had lots of success in terms of telematics, alarm systems, including our own GPS payment and meter monitoring services just to name a few and characterized by deals like the Quebec Hydro that I think some of you made mention of on the past call. But it's still early days in terms of the absolute dollars of these things, and the absolute size of the total Wireless business at Rogers is so significant that it's hard to make a dent in these businesses. So M2M specifically, think of it as in the $50 million range and growing extremely fast, so not going to have a huge impact on ARPU in the near term. Philip, you referenced one other I think that you wanted me to comment on other than M2M.
Phillip Huang - UBS Investment Bank, Research Division: Roaming.
Robert Bruce: So roaming. Roaming, we have some significant growth areas in roaming. That is -- that would be the domestic roaming and obviously, data roaming. Really strong growth coming out of both of those sides of the portfolio. Obviously, voice roaming being under a little bit more pressure as we continue to try to move rates down to get more customers to use roaming so that we can get more revenue in the long run. So roaming filled a much bigger scale and lots more opportunity to grow our data roaming, and we've done some new offerings this quarter that show a lot of promise. So thanks for your question, Phillip.
Operator: Your next question comes from the line of Tim Casey of BMO Capital Markets.
Tim Casey - BMO Capital Markets Canada: Could you talk a little bit about CapEx? You mentioned timing and LTE a few times in your earlier comments, but that was a significant spike. How should we think about CapEx in the very near term? And then going forward, can you flesh out a little bit in terms of magnitude regarding LTE versus the rest of your capital demands?
Nadir H. Mohamed: Tim, it's Nadir. The CapEx for Q3, I know it's higher year-over-year but very much consistent with our guidance and pretty much directly correlated to what we do in the LTE. We think that our ground in terms of leadership on networks are earlier this year and followed through with the first commercial deployment ever in Canada and Ottawa and then literally has pretty much broad coverage now in 4 cities that represents over 5 million Canadians so it's a pretty significant rollout, but it's very much consistent with what we gave as an annual guidance. I think in the past calls, I've made reference to the fact that when you look at year-over-year guidance this year versus last year, it was up by about, let's say, $150 million to $200 million, and we would see LTE spend coming in roughly $200 million for the year. We haven't, as you know, Tim, given guidance for next year. But I think I'm being fairly open in terms of the driving the LTE rollout, something that would have, I'll say, about the same kind of impact next year and to the extent that we'd put an envelope around the program and understand it's not 99% of the cost but the major markets and the rollout that we're contemplating, not unlike HSPA. Look at it as about $0.5 billion over the 3 years. And so $200 million this year, roughly the same next year. These are early numbers. Obviously, we've got a lot of work to finalize the rollout plans and so on, but directionally, I think it can work with those.
Operator: Ladies and gentlemen, this concludes the Q&A session. Mr. Mann, please continue.
Bruce M. Mann: Right. Well, we just wanted to thank everybody for investing their time with us this morning. I know it's a busy time during earnings season, but we do appreciate your interest and your support. If you have questions that weren't answered on the call or you weren't queued to ask a question, if you just please give myself or Dan Coombes a call, both of our names and numbers are on the release this morning, we'll get back to you as quickly as possible and get your calls -- your questions answered. So thank you very much. This concludes this morning's call.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for your participation, and you may now disconnect your lines.